Jeffrey Markowitz: Good morning, and thank you for joining us for a presentation of Freddie Mac's Second Quarter 2023 Financial Results. I'm Jeff Markowitz, Deputy CIO and SVP of External Affairs and Corporate Communications. We're joined today by our CEO, Michael DeVito; and by our CFO, Chris Lown. 
 Before we begin, we'd like to point out that during the call, Mr. DeVito and Mr. Lown may make forward-looking statements based on assumptions about the company's key business drivers and other factors. Changes in these factors could cause the company's actual results to materially vary from its expectations. A description of these factors can be found in the company's quarterly report on 10-Q filed today. You'll find the 10-Q, earnings press release and related materials posted on the Investor Relations section of freddiemac.com. 
 This call is recorded, and a replay will soon be available on freddiemac.com. We ask that the call will not be rebroadcast or transcribed. 
 With that, I'll turn the call over to Freddie Mac's CEO, Michael DeVito. 
Michael DeVito: Good morning, and thank you for joining our second quarter call to review financial results. Today, I'd like to cover 3 topics: ongoing challenges in the housing market, our efforts to tackle those challenges and fulfill our mission, and the results we delivered in the second quarter for homebuyers and renters. 
 Let me begin with the housing market, which continues to challenge borrowers and renters. Two years ago, the average 30-year fixed rate was near historic low at 2.77%. Today, it's closer to 7%, representing the fastest increase in over 40 years. The nearly 6 in 10 borrowers who bought or refinanced when rates were low, are understandably reluctant to give up that rate. They may want to move, but they're not selling. This has consequences throughout the housing market. 
 First, it is exacerbating the supply shortage. Existing homes for sale are near record lows and June listings were down nearly 41% compared to pre-pandemic averages. 
 Second, it is challenging affordability for many families. Rising rates briefly reduced house prices, but low supply and high demand drove them even higher in many markets. In fact, according to the National Association of REALTORS, median existing home sale prices in June were the second highest ever recorded. 
 In the multifamily space, owner operators continue to navigate rising mortgage rates that are contributing to downward pressure on apartment values across the nation. This is driving up the cost of financing properties, which has slowed multifamily origination volume. Unfortunately, renters continue to bear the brunt of these dynamics as rents reached an all-time high in the second quarter. 
 Now let me turn to how Freddie Mac is working to tackle the related challenges of housing affordability and availability. Here are some noteworthy examples of our progress in the second quarter. First, our single-family business ramped up loan purchases under our BorrowSmart Access down payment assistance program. More than a dozen lenders already offer BorrowSmart Access to first-time homebuyers in disadvantaged neighborhoods of 10 major cities. 
 Second, we introduced the HeritageOne Mortgage product to support homeownership among Native Americans. HeritageOne provides educational resources, counseling and affordable financing options to Native Americans looking to purchase on tribal lands. 
 Third, we launched our multifamily workforce housing preservation program. The program offers favorable financing terms to multifamily owner operators, who agreed to voluntarily keep a percentage of rental units at affordable levels. This program builds on our Tenant Advancement Commitment or TAC, which supports multifamily owner operators looking to preserve affordable rents, provide social services and other resident centered housing features. 
 We financed our first property under TAC in 2018 at Plant City, Florida's Walden Lake Complex, which features 352 garden-style apartments. To this day, rents on half of those units remain affordable to families earning no more than 80% of the area median income. Since inception, Freddie Mac has completed 48 TAC transactions like Walden Lake for nearly $1.5 billion and help preserve thousands of affordable units. 
 Finally, we continue our work to address the national housing supply shortage. As I previously reported, our -- the developer program helps close gaps in knowledge and critical skills for aspiring real estate developers. To date, more than 90 single and multifamily developers have graduated from the program, more than 80% of them from underrepresented communities. 
 Now let's look at Freddie Mac's overall results. In the second quarter, we helped 372,000 families buy, refinance or rent a home. This was more than a 40% increase over the first quarter. This includes 102,000 first-time homebuyers, representing more than 51% of the owner-occupied homes we helped to finance. It is a historic high. Overall, we financed 258,000 single-family mortgages and 114,000 rental units in the second quarter, with 55% of the single-family mortgages and 90% of the rental units being affordable to low- to moderate-income families. 
 By remaining focused on our commitment to help families find an affordable place to call home, we earned $2.9 billion in net income and we grew Freddie Mac's net worth to $42 billion. The nearly $8 billion we have added via retained earnings since second quarter 2022 contributes to Freddie Mac's financial stability and our ability to serve our mission. For more on our financial performance, here is our CFO, Chris Lown. 
Christian Lown: Thank you, Michael, and good morning. We earned net income of $2.9 billion this quarter, an increase of $491 million or 20% year-over-year. This increase was primarily driven by a credit reserve release in our single-family business versus the credit reserve build in the prior year quarter. 
 Second quarter net revenues were $5.3 billion, a slight decrease of $65 million year-over-year. This decline was driven by lower net interest income, which declined 5% year-over-year to $4.5 billion. Primarily driven by lower deferred fee income recognition resulting from slower prepayments due to higher mortgage rates. The decline in revenues was partially offset by higher noninterest income of $815 million up 27% year-over-year, primarily driven by higher guarantee income and investment gains in our multifamily business. 
 An improvement in observed and forecasted house price appreciation drove a $537 million benefit for credit losses in the quarter versus an expense of $307 million in the prior year quarter. In the second quarter of 2022, the provision for credit losses was driven by portfolio growth and deterioration in forecast economic conditions. Our total mortgage portfolio at the end of this quarter was $3.4 trillion, a 3% increase year-over-year. 
 Turning to our individual business segments. The single-family segment reported net income of $2.4 billion for the quarter, up 10% year-over-year. Single-family net interest income of $4.3 billion was down 5% year-over-year, primarily driven by lower deferred fee income recognition as prepayments slowed down due to higher mortgage interest rates. Mortgage interest rates at the end of this quarter were 6.71%, up 100 basis points from the prior year quarter and almost 40 basis points from the last quarter. 
 Noninterest income for single-family was $65 million this quarter, down $271 million from the prior year quarter. This decline was primarily driven by changes in market spreads and mortgage commitments. Our provision for single-family credit losses this quarter was a benefit of $638 million, primarily driven by improvements in observed and forecast house price appreciation. 
 In the prior year quarter, we had a provision expense of $298 million, which was primarily driven by portfolio growth and deterioration in forecasted economic conditions. House prices increased by 2.1% this quarter, and our forecast assumes an increase of 0.8% over the next 12 months and 0.9% over the subsequent 12 months. The single-family allowance for credit losses coverage ratio at the end of this quarter was 24 basis points, up from 17 basis points a year earlier. The single-family serious delinquency rate continued to decline to 56 basis points at the end of the second quarter, down 20 basis points from 2Q 2022 and 6 basis points from 1Q 2023. 
 In the second quarter, we helped approximately 20,000 families remain in their homes through loan workouts. Our loan workouts have continued to decline as the seriously delinquent loan population has declined. Our single-family mortgage portfolio increased 3% year-over-year to $3 trillion at the end of this quarter. Credit characteristics of our single-family portfolio remain strong, with a weighted average current loan-to-value ratio at 54% and the weighted average current credit score at 756. At the end of the quarter, 62% of our single-family portfolio had some form of credit enhancement. 
 New business activity picked up versus the first quarter of 2023 and totaled $83 billion this quarter, an increase of $24 billion or 41% versus last quarter. However, year-over-year, new business activity declined $55 billion or 40%, as refinance activity declined substantially due to increased mortgage interest rates. 
 Home purchase volume made up 88% of our total new business activity this quarter compared to 62% in 2Q 2022. The average guarantee fee rate charged on new business was 57 basis points this quarter. 
 Moving on to multifamily. The segment reported net income of $563 million or $278 million from the prior year quarter. This increase was primarily driven by higher noninterest income, which was partially offset by a higher provision for credit losses this period. Noninterest income was $751 million, up $442 million year-over-year, driven by higher guarantee income and higher investment gains. 
 Guarantee income increased primarily due to lower fair value losses on guarantee assets as a result of smaller interest rate increases. Net investment gains increased primarily due to fair value gains from interest rate risk management activities specific to our guarantee assets and index lock agreements. 
 The provision for credit losses in multifamily this quarter was $101 million, driven by a credit reserve build due to deterioration in forecasted multifamily market conditions and current loan performance. The multifamily allowance for credit losses coverage ratio at the end of this quarter was 50 basis points, up from 11 basis points a year earlier. The multifamily delinquency rate was 21 basis points at the end of the quarter, up from 13 basis points last quarter and 7 basis points at the end of June 2022. This change was primarily driven by an increase in delinquent loans in our seniors housing portfolio. 95% of these delinquent loans have credit enhancement coverage. 
 Our multifamily new business activity was $13 billion for the second quarter, down 13% from a year ago as higher interest rates have reduced demand for multifamily mortgage financing. Our multifamily mortgage portfolio increased by 3% year-over-year to $427 billion, of which 94% was covered by credit enhancements. On the capital front, our net worth increased to $42 billion at the end of the quarter representing a 23% increase year-over-year. With that, I'll turn it back over to Michael. 
Michael DeVito: Thank you, Chris. The second quarter saw single-family home prices stabilize, influenced by strong demand, higher residential mortgage rates and limited homes for sale. Renters continue to be cost burden as rents rose in the face of softening multifamily property prices. Freddie Mac remained focused on its mission and delivered a solid quarter, helping 372,000 families buy, refinance or rent a home, the majority of them affordable to low or moderate income borrowers and renters. 
 Our commitment to serving our mission remains our top priority.